Operator: Ladies and gentlemen, greetings, and welcome to the Synchronoss Technologies Second Quarter 2025 Earnings Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host for today, Ryan Gardella, Investor Relations. Please go ahead.
Ryan Gardella: Thank you. Good afternoon. Welcome to the Synchronoss Technologies Second Quarter 2025 Earnings Conference Call. Joining us from Synchronoss today is President and CFO (sic) [CEO] , Jeff Miller; and CFO, Lou Ferraro. By now, everybody should have access to the company's second quarter 2025 earnings press release issued this afternoon, which is available on the Investor Relations section of our website. Today's call will begin with remarks from Jeff and Lou, after which we'll host a question-and-answer session. Before we conclude, I'll provide the necessary cautions regarding the forward-looking statements made by management during this call. I would like to remind everyone that this call will be recorded and made available for replay via a link in the Investor Relations section of the company's website. Now I'd like to turn the call over to Jeff Miller, President and CEO of Synchronoss. Jeff?
Jeffrey George Miller: Thank you, Ryan. Welcome, everyone, and thank you for joining today's call. We're delighted to report another quarter of progress against our planned initiatives and solid results across our operational and financial metrics. Our strategic transformation this past year to a leading global cloud solutions provider has resulted in a more predictable and stable business model, strengthening our financial profile and delivering improved profitability. Revenue for the quarter was $42.5 million, up slightly from $42.2 million in the prior quarter, driven by year-over-year subscriber growth of 2% across our global customer base. Adjusted EBITDA was also up sequentially to $12.8 million with an adjusted EBITDA margin of 30.2%, representing the third consecutive quarter of 30% or more adjusted EBITDA margin performance. Recurring revenue was 92.6% of quarterly total, demonstrating the consistency and predictability of our SaaS business model. I'd like to start off by highlighting the receipt of our CARES Act federal tax refund. In the time since we announced receiving the first portion of our tax refund, I'm pleased to share that we received our final federal CARES Act tax refund payment of $3.7 million. This brings the total amount of our refund to $33.9 million, which includes $5.2 million in interest. This long-awaited milestone initiated a $25.4 million mandatory prepayment at par that we applied against our term loan, resulting in reduced interest payments and significantly strengthening the company's financial position. We conclude the refund process with a reduced debt load, lower interest payments and the remaining $8.5 million of the tax refund proceeds available to enhance operational flexibility. Lou will discuss this more in detail shortly. Taken together with our previous actions to improve our balance sheet, this prepayment towards our term loan represents a total debt reduction of over $100 million in the last four years. We're pleased to have a satisfactory conclusion on what was a long and tedious process to get what was properly owed to Synchronoss and our shareholders, and we're happy to put this chapter of the company's history behind us. Moving on to operations. The improved profitability of the business has been achieved by driving high-margin top line subscriber revenue while continuing to streamline costs of delivering our global cloud solution. The 9% year-over-year reduction in our operating expenses substantiates our ongoing commitment to tightly manage costs. With more capital on the balance sheet, lower debt and interest expense and a sharp eye on expenses, we're well positioned to continue the investment in our product, expand the capabilities of our cloud solution and explore adjacent products and verticals to create greater value for our shareholders now and in the future. In May, we added new features to improve our user experience by releasing Personal Cloud version 25.5. Among the changes in this version were significantly enhanced Genius.AI functionality to improve photo discovery and engagement for users. This new release included AI curated personalized memories with auto-styled photos and innovative time line comparisons that feature the then and now retrospectives. New features like Stylized Moments dynamically apply artistic effects to photos with preview notifications for easy interaction, while the locations map organizes content geographically for spatial memory browsing. These enhancements built on Synchronoss Genius.AI address digital content overload by intelligently indexing and categorizing photos, enabling users to unlock and relive meaningful memories. This update underscores Synchronoss' commitment to AI-driven innovation and that we will be rolling this out to our 11 million subscribers worldwide. Through our Tier 1 carrier partners, we are empowering users to protect and personalize their digital lives while delivering enhanced value to carriers through improved subscriber engagement and increased customer loyalty. We also validated our privacy framework with a third party and self-certified under the EU-U.S. data privacy framework certification, demonstrating our commitment to security of our users' data. Administered by the U.S. Department of Commerce, achieving this certification reinforces our result to comply with international privacy standards and enhances trust with our Tier 1 telecom operators and their subscribers worldwide. This certification confirms our adherence to applicable European privacy laws and validates the robust safeguards that we have in place for cross-border data transfers, underscoring Synchronoss' dedication to responsible data governance, governance, security and transparency. It also complements our existing credentials, including SOC 2 Type 2, ISO 27001 and Trust e-certifications, further solidifying our position as a trusted provider of secure, scalable cloud solutions. Next, I want to provide an update on each of our core customers. For AT&T, we're experiencing sustained momentum in subscriber growth that has exceeded our expectations with notable year-over-year improvements in adoption and performance of our cloud offerings. This growth is driven by enhanced digital onboarding processes that continue to boost cloud awareness and increase take rates among their customer base. We're particularly excited about the potential uplift from Samsung's recent launch of new flagship devices just this past week, which we anticipate to further contribute to subscriber additions. Overall, our partnership with AT&T remains a key positive contributor to Synchronoss' success, reinforcing our position as a trusted provider of innovative personal cloud solutions. Next, at Verizon, we've sustained growth by expanding our retail presence through both direct and more recently, indirect channel partners with retail activations now comprising a growing share of our subscriber base. Our cloud offering continues to hold a prominent position within Verizon's go-to-market Perk portfolio strategy, encompassing myPlan for their consumers, myHome for their broadband users and MyBiz for small business. This reinforces our integral role in their ecosystem. At SoftBank, their retail channel continues to drive robust performance, and we're now expanding our presence into their digital channels to further accelerate growth. In the second quarter, we signed an agreement to integrate the cloud technology via SDK or software development kit into their native account management applications with the SoftBank Corporation. Mirroring our successful implementation with Verizon's integration, which we expect to boost uptakes in there heading -- as we head into 2026. This strategic expansion will enhance the visibility and accessibility of Anshin Data Box Cloud offered through SoftBank's mobile brands. Our Capsyl solution, Synchronoss' branded personal cloud platform tailored for smaller and international operators, continues to gain traction with encouraging early results. In Q2, our partnership with Telkomsel saw progress following their revised go-to-market strategy, which eliminated the need for monthly opt-in for their subscribers, driving favorability on the growth trends and adoption. We expect this streamlined approach to enhance the accessibility and appeal of Capsyl's plug-and-play model, enabling operators to efficiently deploy our cloud solution to their users. As we highlighted last quarter, the macroeconomic environment continues to present uncertainties, including tariffs, global trade tensions and broader economic fluctuations. Despite some modest growth in the U.S. handset market, U.S. carriers are grappling with elongated device upgrade cycles and the widespread adoption of multiyear price locks, prompting them to increasingly prioritize value-added services as a key driver of revenue growth. This strategic shift is reflected in the robust expansion in the U.S. mobile market of value-added services, estimated to be growing at least 10% annually. We're confident that Synchronoss is in an ideal position to capitalize on this trend through our strong relationships with leading carriers and our role as a trusted provider of secure and innovative cloud storage solutions. With this backdrop, we remain confident in our ability to sign at least one new customer in 2025, as we previously indicated. The conversations that we're having with prospects are progressing well, and we are deep in the process with several potential new clients. While we don't have anything new specific today to share, we'll update the financial community as soon as we have more to discuss. To wrap up, we created another quarter of solid results across the business through the team's steady execution. We generated $12.8 million of adjusted EBITDA at greater than 30% margins and with 92% recurring revenue for the quarter. We closed the chapter of our story with the receipt of the $33.9 million in the CARES Act refund, which allowed us to pay down our term loan by $25.4 million at par and add $8.5 million of cash to the balance sheet. The refund enabled us to reduce our annual interest expenses by approximately $2.9 million, and that capped off an over $100 million reduction in debt over the last four years. We saw a 9% year-over-year reduction in our operating expenses, contributing to improved profitability. And we have growing confidence in our pipeline and remain on track to deliver at least one new customer in 2025, as we previously mentioned. Now I'd like to turn the call over to Lou.
Louis W. Ferraro: Thank you, Jeff, and thank you, everyone, for joining us today. First, I'll review our key financial metrics for the second quarter of 2025, which we believe serve as a critical benchmark for our performance, and then we'll provide an update on our financial results and outlook. Starting with our key performance indicators. Quarterly revenue was 92.6% of total revenue, reflecting our stable cloud business model, which is driven by cloud subscriber growth of 2.0%. Turning to our financial results for the second quarter ended June 30, 2025. Total revenue was $42.5 million, down slightly from $43.5 million in the prior year period due to the expiration of a customer contract in December 2024, as disclosed last quarter, partially offset by cloud subscriber growth. Adjusted gross profit was $33.7 million or 79.3% of total revenue compared to the same dollar amount in the prior year, which amounted to 77.5% of revenue. The improvement in adjusted gross profit was due to recurring revenue representing a higher percentage of the revenue mix in 2025. Income from operations was up 59.6% year-over-year from $4.3 million to $6.9 million, driven by further reductions in operating expenses. As Jeff mentioned, we've now received our entire CARES Act refund, which allowed us to pay down $25.4 million of our existing term loan at par with the remaining 25% of the refund applied to our balance sheet for additional operational flexibility. According to the terms of the agreement, the prepayment was all applied towards the scheduled amortization payments. Therefore, we do not foresee having to make another scheduled amortization payment prior to 2028. This should provide us with more free cash flow going to the bottom line over the next three years. Moving down the income statement. Our total operating expenses decreased 9% from $39.2 million to $35.6 million. All components, including cost of revenues, research and development, sales, general and administrative, restructuring charges and depreciation and amortization were down year-over-year. We are going to continue to be focused on intense cost control to help our profitability. Net loss was $19.6 million or negative $1.87 per share. As in the first quarter, this negative result was primarily driven by the impact of $12.5 million of noncash foreign exchange losses, primarily due to reevaluations of intercompany payables and receivables between our U.S. and our subsidiaries as well as $6.4 million in debt refinancing costs. I want to stress that the foreign exchange charge is a noncash paper loss that has no impact on the financial viability of the business nor does it reflect on the fundamentals of our performance. Adjusted EBITDA was $12.8 million, representing a 30.2% margin, consistent with our high-margin model and supported by cost control, including a reduction in operating expenses on a year-over-year basis, as we previously mentioned. Moving to the balance sheet. Cash and cash equivalents were $24.6 million as of June 30, 2025. This does not include approximately $8.5 million in cash that was not used for the repayment of debt from the tax refund that received subsequent to the end of the quarter. Free cash flow was negative $1.1 million and adjusted free cash flow was positive $0.5 million. As we've communicated previously and consistent with our company seasonality, we have full confidence in our ability to hit our free cash flow guidance for the year. With that in mind, we are reaffirming our 2025 outlook and are currently expecting the following: revenue of $170 million to $180 million, adjusted gross margin of between 78% and 80% recurring revenue of at least 90% of total revenue, adjusted EBITDA of between $52 million and $56 million, and free cash flow of between $11 million and $16 million. The company's free cash flow guidance excludes proceeds from the federal tax refund as previously communicated. Additionally, the guidance excludes approximately $4.4 million of transaction fees from the 2025 term loan reflected in cash flow from operations and included in free cash flow. These fees resulted from the company's recapitalization in which the $75 million term loan and a portion of the senior notes were considered modified under accounting principles when replaced with a new $200 million term loan due to participation by existing lenders. These projections reflect our confidence in subscriber growth, cost discipline and financial flexibility from our refinancing and refund despite macroeconomic challenges. I'll now turn the call over to the operator for Q&A. Thank you for joining us.
Operator: [Operator Instructions] The first question comes from Jon Hickman with Ladenburg.
Jon Robert Hickman: Just a couple of questions. The foreign exchange, is that going to be an ongoing noncash expense?
Louis W. Ferraro: Jon, it's similar to the first quarter, that foreign exchange item is the reevaluation of our intercompany payables and receivables and really ties to the strength of the dollar as it relates primarily to the euro. There's been the constantly strengthening position of the dollar. And it's very hard for us to predict how that fluctuation will happen in the future. So I do think there will be some level of performance there. Hopefully, it won't continue to be as negative it is. But again, it's a noncash item for us.
Jon Robert Hickman: Okay. And then going forward, the debt restructuring, is that all done? Or are you going to keep like amortizing those expenses?
Louis W. Ferraro: So the debt cost, Jon, that we recorded, there will be pieces in the third and fourth quarter that flow through. But in terms of the P&L impact, that's primarily now behind us.
Jon Robert Hickman: Okay. And then when you say you're going to get one new customer, does that mean like AT&T type customer or any kind of customer?
Jeffrey George Miller: We have conversations, Jon. Yes, we have conversations going on with actually a wide variety of customers, prospects in a wide variety of geographies. Some represent similar scale to AT&T. Some of them are smaller. Some of them are primarily mobile and some are broadband and mobile. So we do have a number of prospects. What we're indicating now is that we've made enough progress through enough of these customer conversations that we expect to have at least one new customer contract in before the end of the year and contributions made by those customers as we enter 2026.
Jon Robert Hickman: Okay. And your guidance would imply a somewhat stronger second half. Is that...
Jeffrey George Miller: Yes, that's correct.
Operator: [Operator Instructions] Ladies and gentlemen, as there are no further questions, I would now like to hand the conference over to Jeff Miller for the closing comments.
Jeffrey George Miller: I'd simply like to thank the members of the Synchronoss team who do an amazing job of serving our customers, enhancing our products and supporting each other to deliver the results that we just spoke about. And again, I would like to thank all of those who are stakeholders and shareholders of Synchronoss Technologies for your ongoing support. With that, I'll turn it back to Ryan.
Ryan Gardella: Thanks, Jeff. Before we conclude today's call, I'd like to provide Synchronoss' safe harbor statement that includes important cautions regarding forward-looking statements made during this call. During this call, management discussed certain factors that are likely to influence the company's business going forward. Any factors that are discussed today that are not historical, particularly comments regarding our prospects and market opportunities are considered forward-looking statements within the meaning of applicable securities laws. These forward-looking statements include comments about the company's plans and expectations about future performance. Forward- looking statements are subject to a number of risks and uncertainties that could cause actual results to differ materially. All listeners are encouraged to review the company's SEC filings, including its most recent 10-K and 10-Q for a description of these risks. Statements made during the call are as of today, and the company does not undertake any obligation to update or revise any such forward-looking statements, whether as a result of new information, future events or changes in expectations or otherwise. Please note that throughout today's call, management discussed certain non-GAAP financial measures such as adjusted EBITDA. All those non-GAAP financial measures are derived from GAAP numbers, adjusted EBITDA is not necessarily cash generated by operations and does not account for such items as deferred revenue or the capitalization of software development. Today's earnings release describes differences between the company's non-GAAP and GAAP reporting measures present reconciliation for the periods reported in that release. Thank you for joining to Synchronoss Technologies Second Quarter 2025 Earnings Call. You may now disconnect.
Operator: Thank you. Ladies and gentlemen, the conference of Synchronoss Technologies has now concluded. Thank you for your participation. You may now disconnect your lines.